Operator: Good morning, and welcome to the Erie Indemnity Company First Quarter 2024 Earnings Conference Call. This call was prerecorded, and there will be no question-and-answer session following the recording. Now I'd like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz. 
Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for this recorded discussion about our first quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Julie Pelkowski, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com. 
 Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. 
 For information on important factors that may cause these differences, please see the safe harbor statements in our Form 10-Q filing with the SEC filed yesterday and in the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. 
 With that, we'll move on to Tim's remarks. Tim? 
Timothy NeCastro: Thanks, Scott, and thanks to all of you for your interest in Erie's performance for the first quarter of 2024. Last week, on April 20, we marked the 99th anniversary of our company's founding. Now on April 23, and we held our annual medium shareholders in person in the Thomas B. Hagen Building. At that meeting, I reflected on a remarkable journey Erie Insurance has been on for nearly a century. Two young men, H.O. Hirt and O.G. Crawford, opened the doors to the Erie Insurance in 1925 and brought in less than $30,000 in net premiums after the first year. 
 Today, Erie's business has grown more than $10 billion in premium and almost 7 million policies in force, covering 12 states plus the District of Columbia with more than 6,500 employees and more than 14,000 independent agents. I'm humbled and proud to be leading the company, and I'm confident in our position in the industry and our financial stability as we enter our 100th year of business. 
 I'll share some first quarter updates on our business and workplace in a few minutes. But first, let's look at our financials. In our last call, we reported that weather-related claims were up significantly in 2023, which had a negative impact on our combined ratio. So far this year, we're starting to see a turnaround and our ratio is headed in the right direction. 
 I'll now turn it over to Julie to discuss our financial results in greater detail. Julie? 
Julie Pelkowski: Thank you, Tim, and good morning, everyone. In 2023, we talked about our proactive approach to addressing the profitability challenge experienced by the Exchange, and that the most significant impact would come as a result of the higher rate increases that were taken. We anticipated a larger impact from these rate increases in 2024, given the fact that we have 12-month policies. 
 Continued incremental improvement from rate increases, coupled with weather events that were lower in severity compared to the first quarter of last year, drove an improvement in profitability in the first quarter of 2024. Our combined ratio in the first quarter was 106% compared to 122.7% in the first quarter of 2023. Weather events contributed to 9 points to the combined ratio in the first quarter of 2024 versus 12.6 points in the same period last year. 
 The rate increases continue to contribute to significant growth for the Exchange as well. During the first quarter, direct and assumed written premium of the Exchange increased 19%. Strong new growth continues with new business premium growing 32.4% compared to the same period last year. Total policies in force grew 7.1%. We also maintained a solid policy retention ratio of 91.2%. The continued strong premium growth along with high retention and a more favorable combined ratio resulted in the policyholder surplus of the Exchange growing $180 million in the quarter to $9.5 billion as of March 31, 2024. 
 Shifting to the results for Indemnity. Net income was $125 million or $2.38 per diluted share in the first quarter of 2024 and compared to $86 million or $1.65 per diluted share in the first quarter of 2023. Operating income in the first quarter increased over 25% to almost $139 million compared to the first quarter of 2023. Management fee revenue from policy issuance and renewal services increased 19.3% to just over $665 million in the first quarter of 2024 compared to the first quarter of 2023, in line with the increase in the direct and assumed written premiums of the Exchange. 
 The total cost of operations from policy issuance and renewal services increased $81 million or 17.3% for the first quarter of 2024 compared to the same period in 2023. The most significant portion of our expenses are commissions, grew $67 million for the first quarter, driven by the increase in direct and affiliated assumed written premiums of the Exchange. 
 Non-commission expenses for the first quarter grew just over $14 million, driven primarily by increased personnel costs and agent-related costs. The significant growth in the Exchange's premium drove increases in our production support cost as well, such as underwriting and policy processing.  Technology investments continue, although overall technology costs were lower as more development costs were capitalized in the first quarter of 2024 compared to the same period in 2023. 
 Income from investments totaled $15 million compared to a loss of nearly $5 million in the first quarter of 2023. Net investment income was nearly $16 million in the first quarter compared to just $2 million in the same period of last year due to increased limited partnership earnings and higher bond income. 
 As always, we take a measured approach to capital management, and we maintain a strong balance sheet. And for the first 3 months of 2024, our financial performance has enabled us to pay our shareholders over $59 million in dividends. 
 With that, I'll turn the call back over to Tim. Tim? 
Timothy NeCastro: Thanks, Julie. As I've mentioned in previous calls, migrating our legacy technology platforms has been a top priority for us,, and it continues to be in 2024. I'm pleased to share that we successfully modernized more than 1/3 of the legacy applications we've had in place, and we're also working to sunset those older systems as appropriate. This work is tied directly to another key priority, expense management. Upgrades and newer platforms can eliminate many of the inefficiencies and delays created by the older systems. 
 One example of a process that's recently been tightened thanks to modernization is with the best review method of inspection for claims. Best review process often resulted in long cycle times for customers, agents and employees due to a lack of data integration, causing delays or pinning estimates. Now agents and customers can use the Photo Appraisal tool and list an established Direct Repair Program or DRP shops within their online account to determine the appropriate method of inspection during their auto claims. This results in faster claims times, often cutting days out of the process. 
 The pace of change is a topic that both challenges and energizes us, whether we're talking about platforms, processes, products or on people. If you regularly tune into our earnings calls, you may recall that last year, we announced a new approach, we'd be taking to our hybrid workforce starting in 2024. Hybrid employees who make up roughly 60% of our workforce now have a bank of 52 remote workdays to use each year when they choose. Since beginning this new approach in January, we're pleased with how it's helping to create greater vibrancy in our offices and collaboration across teams. 
 We continue to learn and make changes to further improve the in-office experience for employees, including new conference room technology and facility improvements and to support our sustainability efforts, we're installing energy costs across our home office campus to track and share the performance of each building, including electricity, natural gas and water consumption. Employees will be able to see how Erie compares to other commercial buildings with similar usage and size, helping us stay accountable for our energy use and keeping in top of mind for our workforce. 
 Sustainability is one aspect of our commitment to being a good corporate citizen. We also continue to invest in the communities where we do business, helping us to build trust and relationships and reinforce our commitment to service. Recently, we announced 24 grants totaling close to $1 million for education-focused nonprofits as part of Pennsylvania's education improvement tax credit program. The ramp will help nonprofits offer and expand educational programs to prekindergarten to 12th-grade students, in particular, low income underserved and minority students in Northwest Pennsylvania. Erie has donated more than $11 million through the EITC program since it began in 2001. 
 And in support of revitalization work underway in our hometown in Erie, Pennsylvania, Erie Insurance recently provided a $1 million loan with plans to provide an additional support in the future for a project that will transform from Erie's tallest building, the Renaissance Center at Penton State. Funds will help with plans to renovate this downtown landmark into an upscale hotel with space for restaurants, offices and public gatherings. 
 This is an exciting project for Erie and complements the other work and investments underway downtown that we've also supported. It's all aimed at creating a vibrant community to work and live so we can continue to attract and retain diverse and high-quality talent that will position us for success in our next century. 
 I feel a great sense of pride for where we are today. We're poised to move into our next century with a strong employee and agency force and impressive book of business and robust and contemporary technology platforms and prepared to weather continued challenges through thoughtful and proactive planning and we're devoted to keeping our long-standing principles live in ways that will continue to set us apart in the future. 
 As always, I'd like to thank you for listening in today and for your continued interest in Erie.